Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2010 ACCO Brands Earnings Conference Call. My name is Lacey and I’ll be your coordinator for today. At this time, all participants are in listen-only mode. (Operator Instructions). We will facilitate a question-and-answer session towards the end of the presentation. As a reminder, this conference is being recorded for replay purposes. I will now turn the presentation over to your host for today’s call, Ms. Jennifer Rice, Vice President of Investor Relations. Please proceed.
Jennifer Rice: Good morning, and welcome to our Fourth Quarter 2010 conference call. On the call today are Bob Keller, Chairman and Chief Executive Officer of ACCO Brands Corporation and Neal Fenwick, Executive Vice President and Chief Financial Officer. Slides that accompany this call have been posted to the Investor Relations section of accobrands.com. These slides provide detailed information to supplement this call. Our discussion this morning will refer to results for continuing operations on an adjusted basis, which for 2009 exclude all restructuring and other charges. And for 2010, apply normalized effective tax rate of 30%. Our reconciliation of adjusted results to GAAP can be found in this morning’s press release. During the call, we may make forward-looking statements and based on certain risk factors, our actual results could differ materially. Please refer to our press release and SEC filings for an explanation of those factors. Following our prepared remarks, we will hold a Q&A session. Now, it’s my pleasure to turn the call over to Mr. Keller.
Bob Keller: Thank you, Jennifer, and good morning everyone. I continue to be pleased with our progress. We grew sales, expanded our margins, improved profitability and positioned ourselves for further growth in 2011 all in the face of economic headwinds, rising commodity costs and the challenge of normalizing compensation. Our reported net sales increased by a healthy 6% based on a 5% volume increase and driven from solid contributions from all of our business segments. EBITDA, which included 6.7 million of higher compensation costs in the current quarter increased 8% year over year, growing to 50 million from 46 million. Adjust per-share earnings increased to $0.25 from $0.21 in last year’s fourth quarter. For all of 2010, net sales increased 5% and sales volume grew 4%, driven again by growth in all business segments. EBITDA increased 9% to 164 million, a starting point of our [inaudible] bonus plan. All in, we absorbed 27 million of additional salary, management incentive and employee benefits expense this year to deliver the EBITDA number. Adjusted per-share earnings grew to $0.53 from $0.47 last year. We generated 40 million in free cash flow during the year and ended the year with a cash balance of 83 million. In short, we have continued to make significant progress in a very challenging environment and though we still have a long way to go, I like how we’re positioned as we enter 2011. We’ve worked hard the past two years to be a better partner to our customers. We’ve improved our operation performance, invested in innovation, simplified our organization to make it easier to do business with us, competed aggressively at all relevant price points in our categories and improved our financial performance while helping our customers improve theirs. Now, we’re starting to do the kinds of things we need to do to help our customers sell more of our products. We’re doing a better job of understanding our customers and their customer’s needs and bringing outstanding products to the market to meet them. We’re utilizing outside agencies to compliment internal expertise to design specific marketing campaigns to help drive product positioning and sales. Our Kensington ClickSafe locks, Swingline and Rexel low-force staplers and our new Stack-and- Shred shredders are all examples of products we’ve recently brought to market that will benefit from this approach as we move forward in 2011. We don’t anticipate this year will be any easier than last year. We operate in a tough industry with tough competitors and there is assuming ongoing uncertainty around consumer and business spending. Regardless, we expect to grow sales between 2 and 4% as we continue to grow our market share globally. We also expect to grow EBITDA in the mid-single digits through gross margin improvements which will be partially offset by increases in selling, general and administrative expenses. It should result in earnings-per-share growth between 20 and 30%. Targeted free cash flow after interest, taxes and capital expenditures is expected to be approximately 50 to 60 million. We will do all of this while we fix our European business. We expect to incur between 6 and 9 million of one-time costs in SG&A in the first half of the year as we rationalize our operations there with most of the payback expected in 2011. I’ll close by making note of the recent executive changes at ACCO Brands, which we believe will help us do an even better job of creating value for our customers, our employees and our share owners. In December, we named Borris Elisman as President and Chief Operating Officer. Tom Tedford replaced Borris as Executive Vice President and President of the Americas. Tom Shortt became President of Product Strategy and development and late last year we named Christopher Franey President of our International and Kensington Businesses. The Board of Directors and I believe that we have the right leadership team for the next decade and I look forward to working with them to make our vision of ACCO Brands potential a reality. Now, I’ll turn the call over to Neal to provide greater detail on our performance. Neal.
Neal Fenwick: Thank you, Bob. Our fourth quarter performance is recapped on Slide 4. Reported sales increased 6% and volume increased 5% with growth in all business segments. We expanded our gross profit margin 90 basis points to 31.9% in spite of the continued inflation and commodity costs during the quarter, which we are not able to recover until Q1. The improvement in gross margin was a result of improved sales mix, improved freight distribution and other process efficiencies. SG&A expenses were up in the quarter 80 basis points, primarily due to 6.7 million of increased compensation costs as a result of reaching our annual incentive threshold at year end. In all, operating income increased 7%, which included a 1.2 million year-over-year benefit from foreign exchange translation and operating margin increased to 9.6%, an improvement of 10 basis points. EBITDA increased 8% to 50 million, including 1.5 million of benefit from foreign exchange translation. And EPS from continuing operations is $0.25, which was a comparable $0.21 in the prior quarter. Due to delivering at better-than full cost in the fourth quarter, we actually triggered our first-ever performance share award as part of our incentive compensation plan, which reduced EPS by $0.01 in the quarter. Additionally, we lost about $0.01.5 year over year due to FX loses running through other income expense line and due to changes in the number of diluted shares. Turing to an overview of our segments on Slide 5. During the quarter, reported sales for the Americas increased 3% and volume increased 2%, driven by market share gains, improved cash flow management and some increased demand ahead of price increases. For the full year, volume in the Americas increased 2% as well. Operating income for the Americas increased 33% in the quarter. And operating margin increased 210 basis points. Improved sales volumes, lower freight and distribution costs and other efficiency gains offset higher incentive compensation costs. International segment sales and volume increased 7%, driven by share gains and improved category management. Prices decreased in certain markets reflecting fluctuations in local currency rates. For the full year, International volume increased 4%. International segment profit declined 19% in the quarter. However, operating margin contracted 320 basis points to 9.9%. The decline in profit is a result of higher commodity costs and adverse sales mix. Computer products sales and volumes increased 11%, driven by another quarter of strong sales of new products for iPads and iPhones as well as computer security locks. Growth was broad based and across most regions. For the full year, computer products volume increased 8%. Computer products operating profit increased 26% in the quarter and margin expanded 280 basis points to 22.8%. The improvement was the result of gross margin expansion, which was driven by growth in security locks and increased royalty income from security locks. Slide 6 and 7 recap our full-year revenue and margin results. For the year, sales increased 5% and volume increased 3.5%, driven by growth in all business segments. Gross margin expanded 110 basis points for the year in spite of high commodity costs and ocean freight rates. The improvement is the result of favorable sales mix, which accounted for 60 basis points of improvement and supply chain initiatives, which accounted for 130 basis points of the improvement. The adverse impact of higher costs net of pricing is 100 basis points. SG&A increased 8% year over year and as a percentage of sales increased 70 basis points to 22.1%. FX translation accounted for 4.9 million, or 20 basis points of the increase. And higher salary, benefits and incentive costs lent it to 190 basis points of the increased. Cost savings helped offset these increases by 80 basis points. All in with 5% annual sales growth, operating income improved 11% and operating margin expanded 50 basis points to 8.6%. Foreign exchange translation added 7.6 million to operating income. The improvement in operating income was in spite absorbing significant costs during the year including 27 million of higher compensation costs and also higher costs of bills. EBITDA increased 9%, to 164 million, including its 8.9 million benefit from foreign exchange translation. EPS from continuing operations was $0.53, which is a comparable $0.47 from the prior year. Turning to cash flow, which is detailed on Slide 8. Q4 was a strong cash-generating quarter as it seasonally should be and was strong despite heavy shipments at the end of the quarter, which increased our accounts receivable balances. As expected, we finished the year with no borrowing from our ABL facility. We generated 40 million cash for the year, which was at the high end of our advised outlook due to tight management of working capital. We added significantly to our cash from hand during the quarter and finished the year with a cash balance of 83 million. Our strong cash balance helped us work our net leverage down to 3.5 times, which is down from 4.5 times last year and 5.2 when we completed our refinancing in September 2009. In terms of 2011, as Bob outlined, we do expect to drive sales growth at 2 to 4% and EBITDA growth in the mid-single digits. We expect to deliver this by expanding our gross margin despite the continued pressure of rising commodity costs and despite 12 million of incremental SG&A required to normalize employee incentive compensation to target levels. We will also invest in product development and marketing to drive growth in future periods. As we demonstrated throughout 2009 and 2010, we will manage our entire cost base so that we deliver to all stakeholders. All in, we expect to grow earnings per share at 20 to 30% and this is using a 30% tax rate and 58 million shares. Our performance is always weighted to the second half of the year for a number of season factors. But in 2011, the second half will be even more meaningful this year because of the initiatives we have on the way in Europe to improve our profitability in that region. Specifically, to right our SG&A and distribution expense in that region. Our first quarter numbers will include the majority of an anticipated 6 to 9 million of cash expense. Excluding these one-time costs, we expect Q1 to be relatively flat year over year, but with them Q1 will be down year over year. We anticipate then showing growth, particularly in the second half. Our guidance includes these costs. And that concludes our prepared remarks. At this point, Bob and I would be happy to take your questions. Operator.
Operator: Thank you. (Operator Instructions). And our first question will come from the line of Bill Chappell with SunTrust Robinson. Please proceed.
William Chappell – SunTrust Robinson Humphrey: Good morning.
Bob Keller: Good morning, Bill.
William Chappell – SunTrust Robinson Humphrey: I just want to talk a little bit more about the guidance, both on top and bottom line. I mean, when I look at the kind of 2 to 4%, that’s both below what you did in the fourth quarter and most of the last year. I’m just trying to understand, you know, one; are you not expecting any pricing to help or is this just a volume number. And then two, kind of should we look at last year as kind of just an inventory restock at retail and the end markets really aren’t rebounding?
Bob Keller: No. I think you should read that as we’re being conservative. You know, the number includes both volume growth, market share growth and pricing impact. But part of our plan for the year is to get Europe up right and part of that assumes that we’re going to transition a significant number of smaller accounts to the proper channels. And while we want to retain and potentially even grow the revenue that we shift to the right channel, our plans assume that we’re going to lose some in that mix. We’re assuming it’s going to be a challenging environment. We’re not assuming economic growth or increased spending in either the business or the consumer sector and so if the economy gets better, we should benefit from that. And so, you know, our expectation from going into the year is that we have at least as much opportunity as we’ve had the past two years to take market share. And the top-line forecast, we think, is appropriately conservative.
William Chappell – SunTrust Robinson Humphrey: Just to dig in a little bit further, I would assume you took at least a couple of percentage points of pricing on the January 1 kind of reset. And if commodities are spiking as much as you’re saying in terms of the impact to gross margin, there’d be another price increase that would come mid-year. So am I looking at that wrong or are you not able to pass off the pricing like that?
Bob Keller: No, we haven’t built a second-half price increase into this number but your expectation, if commodity costs remain kind of where they are, is correct and we, and I think everyone in the industry would expect an increase in pricing.
William Chappell – SunTrust Robinson Humphrey: So just to – would you expect the Americas, I guess, to move a lot faster than your guidance and then the real drag being International?
Bob Keller: You know, I’d say that, but we’ve performed better on the top line in Europe than the external circumstances would suggest over the course of the last nine months. So I don’t want to count Europe out. But yeah, I think we’re a little bit better positioned at this point in time in the Americas. You know, the other thing is, we didn’t see much of any benefit in terms of a retail restocking in the fourth quarter. You know, I think our operational performance has gotten us to the point where our customers expect that we’re going to be able to deliver full orders on time. And so, we’ve actually seen them improving their turns on our business, not going the other way. So we didn’t get that. Our – we had a little bit of a pull-forward in terms of pricing in advance of the pricing impact. You know, we think it was, you know, maybe a point, point-and-a-half percent in December. But it wasn’t really a restocking thing, it was some customers getting ahead of the price increase.
William Chappell – SunTrust Robinson Humphrey: Okay. And then just kind of a last one. Just thinking a little bit more to the discharge or the restructuring in Europe, I mean, typically saying you’re restructuring in Europe and getting a payback in the same year are not in the same sentence?
Bob Keller: Yeah.
William Chappell – SunTrust Robinson Humphrey: So can you give us a little more color of how that’s happening and what you’re actually doing?
Bob Keller: Honestly, I don’t want to get into an awful lot of detail, Bill, because we’re announcing it to our folks in Europe today and I’d rather that we give our local management time to speak with them before we talk about it publically. But you know, the – we’re going to do what we’ve been saying for the last 90 days, which is we need to simplify that business. We’ve been being a direct supplier to too many small customers; the small customers order in small quantities and infrequently and it’s increased our cost all along the entire infrastructure from customer SKU support all the way through our operations, freight and delivery. And you know, the first thing we’re going to do is rationalize the customer base and get customers in the proper support channels. A significant portion of those are going to go into the wholesaler channel and we’ve been working closely with the wholesalers there to get that done. We need to rationalize our SKU base there. We need to do a better job of increasing the number of SKUs that we sell on a Pan-European basis and then we’ll rationalize our infrastructure that supports all of that. We’ve, you know, we’ve done the work and we do believe that we can get the majority of the payback in next year. And unlike what we have historically done, we’re not taking a restructuring charge. You know, we’re going to eat this as part of normal expense and our numbers include this expense for 2011.
William Chappell – SunTrust Robinson Humphrey: But do you expect to be net neutral earnings this year?
Bob Keller: You know, in very large measure and, you know, the numbers that we’ve given in terms of our full-year expectations include the impact of what we’re doing in Europe.
William Chappell – SunTrust Robinson Humphrey: Okay. Thanks so much.
Bob Keller: Sure.
Operator: And our next question will come from the line of Arnie Ursaner with CJS Securities. Please proceed.
Arnie Ursaner – CJS Securities : Hi, good morning. My first question is a follow up to that. To be clear, in your prepared remarks you indicated the first quarter would be flat with a year ago excluding the 6 to 9 million of expense, the majority of which you’re going in incur. How should I think about that? Is it relevant to the operating income of 21.5 you did last year in Q1?
Neal Fenwick: Yes. You’ll see that’s the way we work indicating the flat position.
Arnie Ursaner – CJS Securities : So if you’re flat with 21.5 including 6 million, you’re talking about a very robust improvement in Q1.
Neal Fenwick: No, no. We’re talking about being flat before the charge. The charge will make Q1 lower.
Arnie Ursaner – CJS Securities : Got it.
Neal Fenwick: We are pre notifying people that because of this significant charge we will have to take in Q1, we’ll get little benefit in Q1 apart from taking the expense, that we will see Q1 below the prior year because of that.
Arnie Ursaner – CJS Securities : Perfect. Thanks for the clarification. On the cliff payments, tied to the multi-year executive comp, is it fair to say that these are essentially now completely behind us?
Bob Keller: No. No, you know, we wanted to bite off a significant chunk of it this year. We did that You know, we still have to absorb about 12 million in incremental bonus payments and incentive payments in order to get us on a fully normal paying at 100% of target basis. But we, you know, we did what we wanted to do in 2010. We got where we wanted to get in 2010.
Arnie Ursaner – CJS Securities : And the 12 million would be incurred in 2011?
Bob Keller: It will be. And again, it’s not cliff-vested this year, but it gives us leverage to ensure that we deliver our expectation in terms of profitability.
Arnie Ursaner – CJS Securities : And Bob, in the past you’ve given pretty specific operating and gross margin improvement goals at the beginning of the year and you seem to not have done it this year. Would you care to comment?
Bob Keller: Yeah, you know, we view both gross margin and SG&A as levers that we’ve got in order to get to our EBITDA target. And you know, I think from a modeling perspective, you know, again, appreciating that they are levers that will play against each other, you know, our expectation is that we’re going to improve our gross margin by about 150 basis points roughly and that the increase in SG&A will be about what it was last year.
Arnie Ursaner – CJS Securities : Okay. Two more quick questions if I can. Just remind me with the debt refinancing you did, there were various levels within your leverage coverage ratio that once you went below certain levels it gave you quite a bit more flexibility. You’re obviously sub four, but minus where the key cuts would be where you actually have a meaningful benefit in terms of rate or …
Neal Fenwick: The senior secured leverage test?
Arnie Ursaner – CJS Securities : Yes.
Neal Fenwick : And under that covenant, we need to get below 2.5. We’re currently at 2.9 times.
Arnie Ursaner – CJS Securities : Okay. And final question for me, a two-part question related to International. Australia is your most important profitability market within International and obviously the country has been under water. Have you seen an impact?
Bob Keller: Yeah, the Northeast portion of it has been.
Arnie Ursaner – CJS Securities : Okay. Is that impacting current results in any meaningful or measurable way?
Bob Keller: A tiny bit. You know, Australia is an interesting place. It’s got 22 million people there in three cities and each of the cities is 1,000 miles apart. And they, you know, the storm is closest to Melbourne, up in the northeast sector in terms of the major population centers. And so it’s had some impact, but not appreciable. We don’t expect over the course of the quarter that it will make a difference. You know, there’s a short-term impact, which is clearly negative. And then frankly, there’s an expectation that there’ll be a rebuilding phase, which will be somewhat positive. And so, net net, we think overtime, over the course of the year we’ll have an impact.
Arnie Ursaner – CJS Securities : Neal, if you could expand on International. Your operating margin had a pretty meaningful decline despite very strong volumes. You cited in your prepared remarks, commodity costs and mix. Can you expand on both of those a little bit please?
Neal Fenwick: Yeah. We’ve seen significant commodity costs pressures throughout 2010 and they haven’t debated. They’re continuing through the first part of 2011. And so, we came into 2010 expecting to actually see reductions in commodity costs and we saw the complete flip around. Whatever we saw in the United States in terms of commodity cost increases throughout most of 2010, we saw even more pressure in Europe because you’ve had a week currency on top. And so, you know, a good example, when steel in the U.S. was up about 20%, the same steel in Europe, in Euros was up about 43%. And so there’s a lag effect between what happens in the real world and what happens in a P&L account because of inventory and currency hedging. And so what we’ve seen rip through our P&L in Q4 in International is about the worse point in the commodity cycle.
Arnie Ursaner – CJS Securities : Thank you very much.
Operator: And our next question will come from the line of Reza Vahabzadeh with Barclays Capital. Please proceed.
Reza Vahabzadeh – Barclays Capital: Good morning.
Bob Keller: Good morning, Reza.
Reza Vahabzadeh – Barclays Capital: Just a couple of housekeeping items to start with. I may have missed it. The working capital performance in the fourth quarter, was that in line with your expectations or better?
Neal Fenwick : It was actually at the top end of our expectations, which is why we met the higher end of our cash flow estimate.
Reza Vahabzadeh – Barclays Capital: Got it. And then as far as sales performance in the first quarter, I wasn’t able to catch what you expect for sales in the first quarter.
Bob Keller: We don’t give quarterly guidance.
Reza Vahabzadeh – Barclays Capital: Right. I see.
Neal Fenwick: The guidance that we did give was for the whole year. We gave sales guidance and we gave the other guidance. Our operating income would be flat in Q1 prior to taking the 6 to 9 million charge in Europe.
Reza Vahabzadeh – Barclays Capital: Got it. I guess to the extent that your fourth quarter sales may have benefited from shift in timing of sales, do those kinds of things usually reverse in the following quarter?
Bob Keller: Yeah, they do. You know, within – so we would expect a little bit of an impact there. And you know, the weather hasn’t been anybody’s friend as we start January either. You know, on days where we’ve gotten less than 10-inches of snow, the point of sale I pretty much where we expect it to be. But we’ve had more days with 10-inches of snow than anybody would like.
Neal Fenwick: And massive floods in other countries.
Reza Vahabzadeh – Barclays Capital: Right. And then on the commodity cost inflation, you discussed that in some detail. What kind of commodity costs, you know, inflation or really cost inflation is embedded in your guidance at this point in time? I know it’s a moving target, but what’s already in your guidance?
Neal Fenwick : Yeah. I think the way to look at it is, you know, we try and model raising our prices or lowering our prices depending on what happens to commodity costs. We don’t try and make money out of things that we can’t control. But there’s a lag effect between our ability to incur an expense and pass it on. And so in January of this year we raised prices but that really reflects what was happening in the world about six months prior to that. So in the last six months we’ve seen some commodities go down, we’ve seen others go up sharply, most notably those driven by the oil price which hasn’t really completely factored through yet into plastic pricing. And so we will take stock of where we’re at now and will talk to our customers about what we have to do to reflect what’s going on in the current world. And so, what we do is we basically have to mop up the lag effect.
Reza Vahabzadeh – Barclays Capital: I see. So you’re basically, your guidance implies that there might be another price increase needed to offset cost inflation between now and the end of the second quarter?
Bob Keller: Our guidance includes the fact that we – that our expectations is the commodities are higher than current pricing levels.
Reza Vahabzadeh – Barclays Capital: Got it. And then just, if I missed this one; on your sales guidance, how much of that if volume versus price mix?
Bob Keller: We didn’t break that out.
Reza Vahabzadeh – Barclays Capital: Any color as far as how you came up with the sales guidance by any chance?
Bob Keller: We threw a dart at a wall. No, honestly, you know, it’s a portion of market share gains and a significant portion of that, we’ve already captured, we expect to continue to take share throughout the year and there are parts of our business and parts of our customer base that will allow us to translate gains that we win in 2011 into 2011 revenue. We did have pricing increases in both the U.S. and Europe on January 1. So that is a component of it. We have assumed that the overall office products industry is going to be relatively flat on a year-to-year basis and so we’re not getting a lift out of that. We’ve assumed that our competitors will get more aggressive in response to how we’ve performed over the last couple of years and so we factored that in. We’ve factored in the fact that while we transition customers into the proper channels in Europe, that there will be some disruption or lost business as a result of that. And you know, net net, we think that on a volume basis, we’re going to continue to outperform the industry and our competition. So that’s – those are the components that we looked at.
Reza Vahabzadeh – Barclays Capital: Got it. Thank you very much.
Operator: And our next question will come from the line of Karru Martinson with Deutsche Bank. Please proceed.
Karru Martinson – Deutsche Bank: Good morning. Just to follow up on that last comment, I’m having a little trouble understanding. When you say you want to transition accounts to the proper channels, what does that mean?
Bob Keller: Well, you know, we’re serving a lot of small customers directly in Europe and the proper channel for those customers is really the wholesaler channel. And so we’re negotiating with multiple wholesalers in Europe to ensure that we have the right product coverage, the right distribution capability, the right geographic coverage. You know, our business isn’t set up to deliver small orders on an infrequent basis to small customers. And so you know, they’re the right channel for smaller dealers.
Karru Martinson – Deutsche Bank: Okay. And when all of these steps are taken, what’s the magnitude of the savings that you guys are looking at on a run-rate basis?
Bob Keller: Well, you know, I mean we’ve said, you know, that the charge is going to be 6 to $9 million so you should assume that that’s an ongoing savings. But I would tell you that’s a relatively small piece of the operating performance that we expect out of Europe on an ongoing basis.
Karru Martinson – Deutsche Bank: Okay. And that 6 to 9 change, only three of that is going to be cash, correct?
Neal Fenwick: No, it’s largely cash.
Karru Martinson – Deutsche Bank: Okay because I was looking at the modeling assumptions here and just kind of cash restructuring –
Neal Fenwick : That’s the tail of the charges we classified as restructuring.
Karru Martinson – Deutsche Bank: Okay.
Neal Fenwick : Which sillied this on our balance sheet.
Bob Keller: We’re not taking this as a restructuring charge.
Karru Martinson – Deutsche Bank: Okay. But you will break that out in the first quarter?
Neal Fenwick : No. We won’t be – we will update what the actual charge will be in Q1 that we took. We’re not going to break it out on the financial segments as a restructuring charge. We’ll take it as an SG&A expense and we’ll just call it out as exceptional.
Karru Martinson – Deutsche Bank: Okay. And in terms of the pricing actions that you’ve taken, what has been the response from the industry and also I guess private label more specifically?
Bob Keller: The response from our customers has been what we expected. Neal made the point before and I think our customers have appreciated – I think historically ACCO has tried to use pricing as a vehicle to grow the business. We’re not using pricing relative to commodity cost increases as a vehicle to try to grow our business, we’re trying to recover costs that are consistent across the marketplace. And you know, again, Neal has been pretty outspoken in the past. You know, our three largest commodities are plastics, steel and cardboard and so are our customers and they operate in the same marketplace and they’re seeing the same things. It’s been a very rational discussion. I think our customers appreciate how we approached this. And so you know, we ended up with something that I think works for both of us.
Karru Martinson – Deutsche Bank: And in terms of the use of cash, you’ve got a healthy cash balance here, 50 to 60 for the upcoming year. Where are the investment areas for you and then how do you think of your capital structure going forward?
Neal Fenwick: You know, in the immediate, as people who follow us would understand, Q1 is a big cash outflow quarter for us. And so mostly cash sitting on the balance sheet will just fund that normal cyclical outflow of cash. And you know, as we get later into 2011 and then obviously start the cyclical growth and cash balance again, that’s where you really start to look at opportunities for what you do with cash. And we’ve always said that, you know, we will look to deploy that cash where we consider best. And so organic growth is the best support followed by things we can do to drive the business growth and then paying down debt.
Karru Martinson – Deutsche Bank: Okay. And what is the acquisition environment out there for you guys right now in terms of targets?
Bob Keller: Well, we have a lot of investment bankers knocking on our door.
Karru Martinson – Deutsche Bank: I’m sure.
Bob Keller: It’s a different perspective than we’ve had in a while. You know, I think honestly, you know, we need to continue to focus on delivering the business. You know, we’ve said publically we think 2.5 to 3 times is the right number. We’re pleased with the progress that we’ve made so far. But if we saw something that we thought was opportunistic and accretive in the short term, you know, we’d take a hard look at it.
Karru Martinson – Deutsche Bank: All right. Thank you very much, guys.
Bob Keller: Sure.
Operator: And our next question will come from the line of Arun Seshadri with Credit Suisse. Please proceed.
Arun Seshadri – Credit Suisse: Thanks for taking my questions. Just a couple of quick follow ups and most of them – most of my questions are answered. First one –
Bob Keller: Arun, could you speak up a little. We’re having a hard time hearing.
Arun Seshadri – Credit Suisse: Okay. Is this better?
Bob Keller: Yeah, that is. Thank you.
Arun Seshadri – Credit Suisse: Okay, great. The first question was, computer products growth, can you talk about broadly speaking, should we expect similar growth going into 2011? Or what type of assumptions are you taking in computer products?
Bob Keller: You’re fading out again, Arun.
Arun Seshadri – Credit Suisse: Computer products growth. I just wanted to, you know, get some sense for how – whether we should continue to expect the kind of strength that you’ve seen recently?
Bob Keller: Yeah, you know, we do. We expect that part of the business to grow. We’re – we introduced the replacement for the physical security lock, the new product is called ClickSafe and it’s off to a great start. And you know, it’s had great reception from our customers and I think we’re doing a terrific job on the marketing side of the business. And you know, the non-security part of our business is performing very well and we expect significant opportunity there. You know, the expansion of the iPhone market to Verizon will create an opportunity for us and you know, we like that business. They’ve done a great job of growing the top line. They’ve done a great job of managing expenses and bringing product to the market. You know, that whole management team has done a terrific job the last two years.
Arun Seshadri – Credit Suisse: Appreciate that. And then next, on the broad outlook for the market, I mean, I think you said your expectation is that the market is flattish in 2011. Any color you can give us on sort of why that is? Why the outlook is still so somewhat weak? You know, given especially that at least on the technology side there’s a lot of refresh and sort of enterprise spending coming back. So I just wanted to get your sense of why the broad – your market outlook is flat.
Bob Keller: Sure. I think you know the technology side of our business represents, you know, less than 20% of our business. And so when we speak about that, we’re largely talking about the office products environment and you know, that environment, you know, we’re not seeing, if someone else is, if they could give us a call we’d appreciate it, but we’re just not seeing much in the way of white-collar employment growth. And you know, ultimately, you know, that’s going to be a big driver. You know, we’ve kind of bifurcated our comments over the last year and half and have said, you know, that we think that the durable part of our business, which represents about half of our business, is more tied to business health and financial health and financial performance of businesses. You know, that part of our business is significantly outperforming the consumable side, which we think is directly correlated to white-collar employment. And it’s one of the reasons why we think we’ll outperform, and it’s just because of our mix. So you know, the pessimism is if we just, you know – we just don’t have the strong sense that the economy is going to rebound in 2011. You know, we don’t see a double dip, but we don’t see a rebound either.
Arun Seshadri – Credit Suisse: Okay. That’s fair. One last questions for you. Capital expenditure, you’re outlook is up versus 2010. Can you talk about sort of what are the main components?
Neal Fenwick : I think the other way to look at that is our level of expenditures in 2009 and 2010 were significantly lower than our normal run rate. Our normal run rate for this business is about 20 million a year. And fundamentally, that is deployed to support new products and IT infrastructure.
Arun Seshadri – Credit Suisse: Understood. Thank you, guys.
Bob Keller: Sure.
Operator: And our next question will come from the line of Gary Balter with Credit Suisse. Please proceed.
Gary Balter – Credit Suisse: Hi. This is [inaudible] in for Gary. Just a quick question on how to think about the sale progression. I know you’re not giving quarterly, but sales progression, actually International because in the comments you alluded to I guess switching some business around among channels. But I imagine there will be some calling of accounts maybe in there as well. So how do we think about how the sales progress throughout the year?
Bob Keller: You know, I don’t know that you should think about it any differently than we performed last year, which we got successfully stronger from a quarter-to-quarter basis. And we would expect that again this year. The first quarter will be our smallest quarter in terms of sales, second will be next, third and then fourth.
Gary Balter – Credit Suisse: Okay. And then I guess following on the International piece, what’s different today than sort of in the sick of the recession that, you know, came to the realization that some of these accounts, you know, probably are better served in other parts? Did sales not come back as much, or just, you know, just some of the cost issues are just more exposed?
Bob Keller: You know frankly, we just – we haven’t been – we weren’t pleased with the progress that we were making in terms of overall profitability and we started taking a hard look at it last year. We changed the management team out in the – or the leadership out in the third quarter. We sent a team of analysts over in the fourth quarter. We believe that the challenges that we have in Europe in large measure are our own making, that we’ve made our business too complex, that we’re trying to be all things to all people and that’s not what we do. We should have a core group of large customers that we serve efficiently and we’ve just gotten it to be too fragmented. We’re going to fix that. And so we think we have the right team over there now and they’re working with the right data. You know, we think we’re going to fix that problem this year.
Gary Balter – Credit Suisse: And just along those lines, can you just contrast that or compare that to the Americas piece and you know, are there similar opportunities or that one is…
Bob Keller: No, you know, if you look at the U.S. business over the last five years, the number of customers has contracted by 60%.
Gary Balter – Credit Suisse: All right. Thanks.
Operator: And our next question comes from the line of Bill Chappell with SunTrust Robinson. Please proceed.
William Chappell – SunTrust Robinson Humphrey: Yeah, I just wanted to follow up on the SG&A side. Just kind of looking at the progression as you look over your long-term and what you’ve talked about for this year, I’m just trying to understand, are there any other catch-ups? I think you talked about another $6 million of getting compensation to where it should be. I kind of thought that was behind us. So just trying to understand what additional things there may be. And also, when do you see SG&A start to go down as a percentage?
Bob Keller: You know, it’s actually 12, Bill, for this year. And that gets us to you know, full compensation, full payout, and that’s what we’ve got built into our expectation; that we’re going to pay out at 100% this year. And so you should see leverage off of that. This should be the highest number from a percentage point of view. You should see continued leverage on that going forward.
Neal Fenwick: It’s also worth noting that, you know, to manage 2010, we also had to cut back on some of the sort of marketing support that we would ordinarily spend. So we fundamentally, not just in terms of payroll, need to increase expense, but we also need to increase some of our market support costs. And so, our SG&A will go up against sales in 2011. After that we will anticipate using growth to leverage it back down together with some of the [inaudible] that we’ve undertaken.
William Chappell – SunTrust Robinson Humphrey: So can I imply that if you actually see better than 2 to 4% growth this year, there should be some leverage to the model this year?
Bob Keller: Yeah. There should be. Our planning number is around a 70 basis point increase this year.
William Chappell – SunTrust Robinson Humphrey: Right.
Bob Keller: But that’s with the 2 to 4% sales increase.
William Chappell – SunTrust Robinson Humphrey: Okay. And then just, I might have missed it, but I want to say last year there was a thought there was a least $50 million of revenue in terms of market share gains. I know you’ve won some business, can you quantify that for this year? And then how should we look at that and back to that 2 to 4% top line?
Bob Keller: You know, I think we came in pretty close to that number each of the last two years and we think our growth opportunity or our market share capture opportunity is at least that much for this year.
William Chappell – SunTrust Robinson Humphrey: That almost implies that, you know, using kind of the low end of your, you know, 2 to 4%, that you’re expecting flat to no growth out of that category and no pricing?
Neal Fenwick: No, we’re expecting some breakage in terms of the European business model.
William Chappell – SunTrust Robinson Humphrey: Okay.
Bob Keller: And you know, again, you know, we’ve been pretty successful on the sales side the last two years. Our expectation is our competitors are going to respond. So you know, we’re trying to create a model that’s conservative and realistic.
William Chappell – SunTrust Robinson Humphrey: Okay. Thanks.
Operator: Ladies and gentlemen, this concludes our question-and-answer portion of today’s call. I would know turn the call back over to Mr. Bob Keller, Chairman and CEO for any closing remarks.
Bob Keller: Thanks very much. You know, to close, we’re pleased with our progress. We thought we had a terrific quarter and a very good year. We thought we did the best job we’ve done in a long time in balancing the needs of our customers, our shareowners and our employees. We’re pleased with how we’re positioned as we start the year. We think it will be a challenging year, but we’re excited about how we’re positioned and the kinds of things that we can do this year and we look forward to talking to you after the first quarter. Thanks.
Operator: Thank you for your participation in today’s conference This concludes your presentation. You may now disconnect. Good day, everyone.